Operator: Good day, Ladies and Gentlemen. And welcome to the Shenandoah Telecommunications Second Quarter 2010 Results Conference Call. At this time, all participants are on a listen-only mode. Later, we’ll conduct a question-and answer-session, and instructions will be given at that time. (Operator Instructions) I would now like to turn this conference over to our host, Ms. Adele Skolits. Ma’am, you may begin.
Adele Skolits: Thank you. Good afternoon, everyone. Thank you for joining us. The purpose of today’s call is to review Shentel’s results for the quarter and the June 30th, 2010. Our results were announced in a press release distributed yesterday evening and the presentation we’ll be reviewing is included on our website at www.shentel.com. Please note that a replay of the call will be made available later today. The details were set forth in the press release announcing this call. With us on the call today are Christopher French, our President and Chief Executive Officer; and Earle MacKenzie, our Executive Vice President and Chief Operating Officer. After our prepared remarks, we’ll conduct a question-and-answer session. I’ll begin with slide two of the presentation. While we don’t provide guidance with respect to specific future financial results, we caution that this call may contain forward-looking statements, which involve a number of known and unknown risks and uncertainties. These may cause our actual results to differ materially from these statements. Shentel provides a detailed discussion of various risk factors in our SEC filings, which you are strongly encouraged to review. You’re cautioned not to place undue reliance on these forward-looking statements. Except as required by law, we undertake no obligation to publicly update or revise any forward-looking statements. Also, in an effort to provide useful information to investors, we note on slide three that our comments today include non-GAAP financial measures. Details on these measures, including why we use them and reconciliations to the most comparable GAAP measures, are included in our FCC filings. I’ll turn the call now, over to Chris.
Christopher French: Thank you, Adele. We appreciate everyone joining us this afternoon. The second quarter 2010 was a very busy one for our company, and we’ve had many significant accomplishments since our last quarterly call. I’ve listed some of the highlights on Slide 5. Last Friday, we closed on the acquisition of Jet Broadband. At close, the Jet Broadband network past approximately 115,000 homes, and had approximately 66,000 revenue generating units or RGUs. This acquisition was funded with new credit facilities, which Adele will discuss later on this call. In our existing cable business, we’re pleased with the 7% increase and RGUs during the quarter. These results are driven by the substantial progress we’ve made in expanding voice services to 40% of the homes past and high-speed internet to nearly 60% of the homes past. In early July, we signed an amendment to the current contract with Sprint-Nextel to allow Shentel to sell Virgin Mobile and Boost Prepaid Wireless Services. With the signing, these prepaid products and services became available in the Shentel Wireless service area through Sprint stores, operated by Shentel, as well as hundreds of other locations. Shentel also acquired the rights to future revenues related to the approximately 50,000 existing Virgin Mobile customers in our service area. Late in the second quarter, we also began offering 3G-4G data cards. And more recently, handsets. This happened in conjunction with 4G services becoming available in our York and our Harrisburg, Pennsylvania markets. A third highlight was the final distribution of the assets from our defined benefit pension plan, which happened in early June. We recorded significant incremental non-recurring expenses in the second quarter as a result the final distribution and the curtailment of the supplemental executive retirement plan. As you can see on Slide 6, on a consolidated basis, we’re reporting net income of $4.6 million for the quarter compared to 6.7 million from the second quarter of 2009. Net income from continuing operations was $4.5 million for the quarter as compared to 6.8 million in the second quarter of '09. The 2010 results from continuing operations include 3.8 million before taxes, and 2.2 million after taxes of expense related to the just-mentioned retirement plans. On Slide 7, we’ve listed highlights of our progress in the wireless segment of our business. Post-paid wireless PCS customers are up 5% from a year ago. Continued growth was helped by churn of just 1.7% , relative to the 1.9% for the first quarter of 2010. We’ve still have not reached agreement for the sale of our converged services business, although we continue to work with potential buyers. This process remains challenging as potential buyers actively work to obtain funding. We continue to expect that a sale will ultimately be achieved. I’ll now turn the call back to Adele to review our financial results in more detail.
Adele Skolits: Thank you, Chris. I’ll begin on Slide 9. For Q2 ‘10, earnings per share from continuing operations were $0.19 in comparison to $0.29 for Q2 ‘09. The impact of closing and curtailment of the retirement plans was over $0.9, which accounted for most of the change. Moving on to Slide 10, adjusted operating income before depreciation and amortization, or OIBDA for Q2 ‘10 was 20.3 million or 400,000 from Q2 ‘09. In order to better understand the forces driving this change, I’ve provided the OIBDA results by segment on Slide 11. Adjusted wireless OIBDA was flat, while average customers were up 5.5% in Q2 ‘10 relative to Q2 ‘09. The company absorbed an increase in the Sprint-Nextel service fee. Since amending this Sprint-Nextel management agreement, effective January 1, 2007, the service fee we pay Sprint has been 8.8%, the amendment provided for adjustment of the fee as the net cost of the services provided in the contract changed. This is the first time Sprint has exercised this option, and since the net cost exceeded the maximum, the fees were adjusted to the maximum of 12%, effective June 1, 2010. The change in percentage results in an increase in the net service fee of approximately $300,000 for June. Going forward, based on current revenues the net service fees will increase approximately 4 million per year. Since the net service fee percentage is at the maximum allowed in the contract, we anticipate the percentage will remain at this level through the end of the contract unless renegotiated in a future amendment. Including this change, Sprint-Nextel fees increased by 600,000 for this second quarter of 2010. In addition, the cost of the expanded network coverage and rollout of EVDO coverage resulted in an $800,000 increase in network cost. Adjusted wire-line OIBDA increased by 1.5 million in Q2 ‘10 over Q2 ‘09. Access fees increased by nearly $900,000 as a result of the retrospective adjustment to USF reimbursements received from NECA. Facilities leasing increased over $300,000 as a result of ongoing sales efforts. Service revenues increased by $300,000 primarily as a result of a rate increase implemented in March 2010. Adjusted cable OIBDA decreased by 1.2 million in Q2 ‘10 over Q2 ‘09. Approximately 900,000 of this decrease relates to growth in the cost of acquiring customers, including installation, commissions, advertising, and marketing. While net RGUs grew significantly in Q2 ‘10, this growth was offset by the sale of systems with nearly 18,000 RGUs in December 2009. Simultaneous with closing on the Jet Broadband acquisition, we entered into a series of syndicated debt facilities. The terms of the facilities are outlined on Slide 12. The facilities include a $189.8 million term loan which matures in five years. The term loan bears interest at LIBOR plus 3.5% at the outset. This rate is expected to drop to LIBOR plus 3% over time as our leverage drops. While we have other floating rate options, we have chosen to tie the rate initially to one month LIBOR. There is no LIBOR floor, and at the time the deal closed, one month LIBOR was approximately 30 basis points. The amortization will be 5% in year one and 10% in each year thereafter. The credit agreement requires that one third of the outstanding balance on this loan be hedged, and that the company meets certain maintenance convents outlined on this slide. In addition, the facilities include a $50 million revolver and $8 million in a fixed-rate term loan. At this time, I’ll turn the call over to Earle to go into greater depth on some of the operating factors driving our results.
Earle MacKenzie: Thank you, Adele. Good afternoon, everyone. Slide 14 shows the post-paid wireless PCS customer growth since December 31, 2008. As Chris mentioned earlier, we did purchase approximately 50,000 prepaid customers in July, but they are not reflected on this slide. At June 30, 2010, we had 227,437 post-paid PCS customers, an increase of over 5% from a year ago. We began selling the Virgin Mobile and the Boost brands on our CDMA network in July. The third quarter results will reflect the prepaid customers. On Slide 15, you see the second quarter gross adds are down from 14,936 to 14,177. Churn has decreased from 2.1% in the second quarter of 2009 to 1.7 in the most recent quarter. This downward trend is consistent with Sprints results. Slide 16 shows that our gross bill data RGU continues to grow, resulting in an average of $20.61 per customer, per month during the second quarter. This represents over a 12% increase from the $18.35 we had in the second quarter of 2009. The decrease in total gross build revenue per user has continued primarily due to greater percentage of customers on rate plans with larger usage allotment. The shift of usage patterns from voice to data and add-a-phones. The Sprint value proposition continues to be well received in our market. Slide 17 provides you the reconciliation between our gross billed revenue and the net service revenues reflected in our financial statement. The improvement in bad debt offset by an increase in service credits from a year ago result in the combination remaining at the same percentage of gross billed revenue. Net revenues growing at a slower pace than gross billed revenues as the result of the change of the net service fee percentage that Adele explained earlier. We continue to trend of a significant number of our customers selecting higher revenue plans as shown on Slide 18. Rate plans that contain the any-mobile, any-time feature, continue to provide a powerful value message. In the second quarter, 40% of our gross additions took the Everything-Data family 15,000 plan. We continue to sell a good cross section of phones. As we have pointed out before, we have one of the highest data revenue per users with a lower percentage of Smartphones than other carriers. In the second quarter, 38% of the phones sold were Smartphones, raising the mix of Smartphones to 24% of our base. Our distribution channels continue to do an excellent job of selling the right phone to match our customers’ needs. Wireless construction has slowed from our record spend in 2008 and 2009. Slide 19 shows the large number of cell sites added in 2009 along with EVDO sites to provide 3G coverage to 95% of our covered POPs. We added only seven new sites in the first half of 2010. The high construction expenditures in 2009 are now reflected in the increase operating cost in 2010. The ongoing capital expenditures will be primarily success based focused on adding additional capacity and improved in building coverage. In the second quarter, 4G coverage became available in portions of our York and Harrisburg, Pennsylvania markets as part of Clearwater’s launch of the greater Philadelphia market. We are now selling 3G-4G data cards and phones throughout our service area. Moving to our wire-line segment on Slide 20, we continue to have modest access line losses. The unusual pattern in the access line count reflects the addition of approximately 950 access lines from the acquisition of North River Telephone Cooperative in November 2009. Our broadband penetration using DSL, and our telephone footprint is now at 49%, including the North River area, which like the rest of our telephone footprint, has a 100% DSL availability. We are continuing to enhance our network to offer higher speeds with many of our customers now able to get 10 megs or more. Significant efforts continue in our cable operations. We’ve owned the Rapid Cable properties for 19 months and have now upgraded 85% of the homes past. We plan to have all of the homes past acquired from Rapid, upgraded by year end. We continue to accelerate growth in RGUs with 1,873 net new RGUs in the second quarter as shown on Slide 21. As a reminder, the broadband customers using DSL, or where the telephone company are reflected in our wire-line segment, although the 7,800 video customers located in Shenandoah County are included in the cable segment RGUs. Slide 22 shows the evolution of our cable market over the past 18 months. In December 2009, we sold several small systems covering approximately 8,000 homes past and approximately 18,000 RGUs, mostly video customers. This chart shows the numbers of homes past and the number of homes where internet and phone is available along with penetration rates for those services. Our penetration rates are below the industry average, so we are confident that there is significant upside potential. During the second quarter, we sold 1,873 net new RGUs with 1,040 broadband RGUs, and 783 voice RGUs, which appears to show the demand for these services in the markets we serve. My final slide, Slide 23, breaks down historical capital expenditures by reporting segment along with our current view of the capital expenditures for the current year. Our 2010 spending, including the expected 11.1 million to begin the upgrade of the Jet Broadband network, will essentially be equivalent to the total capital expenditures for 2009. The 2010 total also includes the dollars to complete the upgrade to the cable networks required from Rapid in December 2008. I will now turn it back over to Adele.
Adele Skolits : This concludes our prepared remarks. Shannon, would you review the instructions for posting a question?
Operator: (Operator Instructions) Our first question comes from Rick Prentiss with Raymond James. You may begin.
Richard Prentiss – Raymond James: Thanks. Good afternoon, guys. Thanks for providing the segment information on the presentation also, Adele.
Adele Skolits : You’re quite welcome.
Richard Prentiss – Raymond James: First question I’ve got for you guys is, Earle, I missed one of the numbers. It’s been a long day for us. You said Smartphones sold in the quarter were how much?
Earle MacKenzie: 38% of the phones sold in the quarter were Smartphones.
Richard Prentiss – Raymond James: Okay. And 24% of base I caught. Is that Smartphones only and air cards would be up and above that?
Earle MacKenzie: Air cards are above that.
Richard Prentiss – Raymond James: And do you have what the total would be with Smartphones and air cards, just to kind of compare to other people out there.
Earle MacKenzie: About 10 – almost 11% of our base are cards.
Richard Prentiss – Raymond James: Okay. We’ve heard a lot from Sprint talking about looking at their next RSP for their network, looking at LETT, WiMax being rolled into base stations. What are your thoughts as far as upgrading the wireless network as far as timing, or do you piggyback on Sprints RFP, or just what’s involved with the whole thoughts of going to 4G?
Earle MacKenzie: We’ve had some preliminary discussions with Sprint on their plans. Our contract allows us to piggyback on their contract, so whatever contracts they sign, we’ll have the option to get the same pricing as we always have. As far as timing, we are still looking at their schedule. I expect that we won’t see any significant capital expenditures on our side until late 2011 at the earliest, but probably not until 2012.
Richard Prentiss – Raymond James: And you mentioned you’ve been now getting the handsets also for 4G. Were you able to get enough [inaudible] or is it still kind of capacity constrained for you guys too?
Earle MacKenzie: It is capacity constrained. We sold about 2,000 of them in the period of time they were available in the second quarter. We could have sold more but just couldn’t get enough.
Richard Prentiss – Raymond James: And then on the prepaid side, you guys have started selling that. Which rate plans do you find being the most interesting to people as you’ve now gotten into the prepaid world.
Earle MacKenzie: I think the Boost price plans, out of the gate, seem to be the most interesting. I don’t know if that’s because Boost has been advertizing more heavily for a longer period of time, and that the new Virgin Mobile rate plans are – just really haven’t gotten good exposure in the marketplace yet. But for the first couple of weeks that we’ve been selling, the biggest sellers have been the Boost plan.
Richard Prentiss – Raymond James: Those are like the unlimited 50 kind?
Earle MacKenzie: Right.
Richard Prentiss – Raymond James: Great, thanks, Earle.
Earle MacKenzie: All right.
Operator: Thank you, our next question comes from Berry Sine with CapStone Investments. You may begin.
Berry Sine – CapStone Investments: Good afternoon. My questions are also around the prepaid business. First of all, the 50,000 subscribers you’ve acquired the revenue rights to, what did you pay to acquire those?
Earle MacKenzie: We paid $138 per subscriber.
Berry Sine – CapStone Investments: And can you give us any sense of what you’re seeing in terms of RGU at this point? I know it’s a little bit early in your markets, were are the prepaid subscribers.
Earle MacKenzie: Really don’t have good information on that yet, Berry. We’ll have more detail at the third quarter.
Berry Sine – CapStone Investments: I know you obtained a right to begin offering prepaid, I think the date is July 11. What was the actual date? Did you immediately get it all the stores at that point? Was there a delay? What was the rollout date? And then, I know it’s a little bit early, and you’ve already mentioned which plans are the most popular, but how is that doing versus the post-paid offerings? Is it much more successful, about the same, less successful?
Earle MacKenzie: We actually started selling in all of our stores and our branded stores on the same day, on the 11th. Some of our other third parties, which we control, probably didn’t get on for a week to ten days. It was a period of time as we got them all set up. They were all ready distribution channels in the market place selling Virgin Mobile. So that really didn’t change. As far as the pattern so far, looking at July, we did not see a significant change in our post-paid activity in July. But once again, with there not having been a lot of advertizing to even know that the pre-paid was in our stores yet, it’s probably a little early to draw any conclusion about what that pattern may be going forward. But as far as the very, very preliminary information that I have available, there really doesn’t appear to be any cannibalization of our post-paid business at this time.
Berry Sine – CapStone Investments: Do you have any data points prior to your ability to offer prepaid? What percentage of customers walking in the door you were rejecting for credit reasons, so now the ability to offer them something with prepaid?
Earle MacKenzie: Anecdotally, I would say, probably 1 in 4 either didn’t meet the credit requirements or was unwilling to pay a deposit. So we do believe there will be a lift in our stores once customers realize that we have that option.
Berry Sine – CapStone Investments: That sounds pretty significant. Then on the 4G, can you give us a little more of a sense of how the revenue and the cost spilt is working? If you sell a 3G-4G phone or data card, how does the revenue and expenses get spilt there?
Earle MacKenzie: Berry, it’s basically exactly the same way that we’re settling currently. Right now, there’s that additional $10 charge for 4G data. We get our percentage of that just we do all of the rest of the revenues. So there’s really no significant difference in the settlement process.
Berry Sine – CapStone Investments: And then turning to the cable business on the Rapid properties, could you describe your offer that you’re going out to market with today? What are you including in the bundle and what is the pricing? And what are seeing in terms of competitive responses in the marketplace?
Earle MacKenzie: We’re offering a variety of – kind of almost a Chinese menu because we realize that we’re not a known entity at this point in time. So we’re trying to use whatever service we can to get into the customer’s home with the idea that we can expand from that. But were we can offer a triple play, we are offering a triple play that is for – you can add a lot of bells and whistles, but basically $100 a month. We’ve actually had a lot of success selling Broadband and phone to customers who are reluctant to give up their satellite but are more than happy to change from the telephone company to us for the broadband and the phone. As you saw on the net change of RGUs, the predominate amount of net change was in broadband and voice. And we offer two flavors of voice, we offer voice with and without unlimited long distance. If you don’t buy the unlimited long distance, we’re able to sell you LD calls at $0.04 a minute, which is pretty compelling. So that in every case, we’re able to offer a much more attractive phone offering than the incumbent. And in most cases, we’re able to offer more speed. At, or more speed than the incumbent in the broadband. So once we get that base of customers and the word of mouth starts, we’re very, very optimistic that there’s some good growth there. And where we have upgraded the video from a couple of the franchise areas that we’ve just recently upgraded in the late second quarter, only had 24 channels. So going from 24 channels to over 100, those folks are pretty excited too. So we are getting a lift there also. But as far as the competitive environment, really there has been no response at all from the incumbent telephone company, and the satellite companies continue to market aggressively, directly and through their third parties.
Berry Sine – CapStone Investments: And just lastly as a followup, your marketing channels that you’re using, you mentioned word of mouth. Do you have people knocking on doors, or any television advertising? What are you doing in terms of advertising this service?
Earle MacKenzie: A little bit of everything as reflected by our cost. We are spending pretty heavily both to talk about the product but also create the brand awareness. But we’ve been quite successful with our own employees and third parties doing door-to-door. We have a fairly good percentage of sales actually being done as add-ons by our customer service group. We have given them training and some incentives as far as commissions for them to up sell or add services to customers when they’re calling in for any particular reason. I would say that probably about 35 to 40% of our gross adds are coming from door knocking and the remainder are coming from direct mail and telemarketing, and the upselling on in-bound calls.
Berry Sine – CapStone Investments: Okay, those are my questions. Thank you.
Operator: Thank you, our next question comes from Greg Burns with Sidoti & Company. You may begin.
Greg Burns – Sidoti & Company: Good afternoon. Just a followup on the last question in regards to the marketing on the cable business. Does that wind down at any point going forward, or is there any overlap with the marketing efforts you’re putting in for Rapid business and the Jet Cable acquisition?
Earle MacKenzie: I would say that we will be advertising heavily through next year, continuing to build the brand, continuing to build awareness in. The existing properties that we have have just kicked off this week. Since we closed on Friday, we had advertising ready to go. We kicked off this week. Primarily, jet is now Shentel, so not really a offer-based advertising at this point, but just name awareness because it’s not a part of the state where we’ve done business before, so were in the process of creating some name awareness.
Greg Burns – Sidoti & Company: Okay. And then switching, of course on the wireless, gross adds were a little lighter than we were looking for. And I was just wondering if maybe you will give a little color on what’s driving that, and if you’re doing anything proactively to bring those numbers up. And also, have you seen any positive impacts from the buzz surrounding 4G, getting people in the stores and anything along those lines?
Earle MacKenzie: Let me start with the 4G question first. 4G covers geographically a relatively small percentage of our area, probably about 25% of the POPs, but a much smaller percentage of the geographic area. We have seen some interest, but the coverage, to be very honest, in York and Harrisburg, we’re at the edge of the network. So we’re actually being very, very careful not to over sell the 4G when customers come into the store because we don’t want them to have an experience that is not up to their expectations. So we work very, very hard to understand where their travel patterns are and if they do want a 4G, 3G-4G card, we explain to them where 4G will be available and where they’ll be on 3G. So I think it does create some buzz. I believe that if we’ve had more EVOs we would have seen more higher gross adds because we took names but really weren’t able to fulfill on the expectation. And once a name gets cold you’re not sure if your going to be able to sell it because, customers, or prospect are pretty fickle; the next new phone out they’re ready to jump on that one too. As far as looking at how to drive more traffic into the stores, we have just launched a new campaign, basically a Did-You-Know campaign. Really trying to – we use some humor, did you know some funny fact, and did you know that you can get all of this great service from Sprint for 69.99. We’re starting to do that on billboards and mailers, and various media. It is starting to get some traction. We’ve only been running it in the market for about 45 days, so it’s a little early to know exactly how successful it might be. But we do everything we can to drive traffic into the store. What we’re finding is that traffic is down, but we are being pretty successful at closing the traffic that does come through the door.
Greg Burns – Sidoti & Company: Okay, thank you.
Operator: Thank you. (Operator Instructions). There are no further questions. This concludes today’s conference call. You may now disconnect.